Operator: Ladies and gentlemen, this telephone call relates to HCC Insurance Holdings Inc. Before we begin, the company has requested that I read the following statement, which will govern the telephone conference today. Statements made in this telephone conference that are not historical facts including statements of our expectations of future events or our future financial performance are forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. And we caution investors that a number of factors could cause our actual results to differ materially from those contained in any such forward-looking statements. These factors and other risks and uncertainties are described in detail from time-to-time in our filings with the Securities and Exchange Commission. This conference call and the contents thereof and any recording broadcast or publication thereof by HCC Insurance Holdings Inc. are the sole property of HCC Insurance Holdings Inc. and may not be recorded, rebroadcast, or published in whole or in part without the express written consent of HCC Insurance Holdings Inc. Your lines will again be placed on music hold until the conference begins. Thank you for your patience. Ladies and gentlemen, thank you for standing by and welcome to the Third Quarter 2011 Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. I would now like to turn the conference over to Mr. John Molbeck, Chief Executive Officer. Sir, you may begin your conference.
John Molbeck: Thank you, operator. Welcome, everyone, to HCC’s third quarter conference call. Joining me today is Chris Williams, our President; Brad Irick, our Chief Financial Officer; Mike Schell, our Chief Property and Casualty Insurance Officer and Craig Kelbel, our CEO of HCC Life. We are pleased with our overall results for the quarter despite the adverse 2011 accident year development of diversified financial products and the continued catastrophes. Diversified financial products or DFP as we refer to it includes insurance for private equity, hedge funds, investment managers and general partnerships. Brad and I will provide more details relating to DFP later in the call. Once again we accomplished our objective of managing our catastrophe exposure as our tax net loss from 2011 catastrophes was only 2.1% of December 31 2010 shareholders’ equity. A result that we believe remains at the lower end of the range in the industry. The catastrophe losses added 6.2% to overall GAAP loss ratio of 69.9% for the quarter, but despite the catastrophes our annualized return on average equity was 7.4% for the quarter and 7.2% year-to-date. Book value per share grew to $30.67 or 3.4% in the quarter and by 7% year-to-date. This reflected our net earnings as well as an increase in our unrealized gain position. Some additional highlights for the quarter, a GAAP combined ratio of 92.8%, a GAAP expense ratio of 22.9% and accident year combined ratio of 95.7% including catastrophes and 89.6% excluding catastrophes and a paid loss ratio of 55.5%. Earned premium was up 5% for the quarter and net written premium by 4%. Our renewal retention remains strong at approximately 83% in the third quarter for business for which we capture this statistics. Brad will now review with you our financial highlights. Brad?
Brad Irick: Thanks, John. In the third quarter, net investment income rose 7% to $55 million, reflecting growth in our portfolio through investment of operating cash flows and the benefit of our continued efforts to deploy short-term investments into the fixed income portfolio. Some investment related highlights in the quarter included, an increase of 10 basis points in yield driven by short duration securities being reinvested longer, led by new purchases of municipals, a slightly lower overall duration of the portfolio to 5.2 years due to increased prepayments of mortgage-backed securities driven by the treasury rally. An increase of more than $100 million in the unrealized gain position of our available for sale portfolio also driven by the treasury rally and strong performance from municipals. And finally, a decrease in the average rating of our portfolio from AA+ to AA, a direct result of S&P’s downgrade for the U.S. Government’s debt rating in August. Next, I’ll summarize the reserve activity in the quarter. This quarter, we completed scheduled reviews for U.S. Property and Casualty and Professional Liability segments and our quarterly evaluation of all catastrophe reserves. We also included UK Professional Liability in the International segment in our review as indications were that its reserves were significantly in excess of the actuarial point estimate. Based on our review, we recorded a net increase to our loss reserves of $28 million. This includes a net favorable loss development of less than a million offset by $28 million of additional reserves due to an increase in 2011 accident year loss ratios. The net favorable development includes $58 million from international – the U.S. and International D&O in the Professional Liability segment and $19 million from U.K. Professional Liability. The remaining favorable development came from various lines primarily in the U.S. Property & Casualty segment. Offsetting this favorable development was $87 million of adverse development in DFP also part of our Professional Liability segment. Our review of DFP indicated the deficiency in reserves of approximately $92 million. The majority of the indicated deficiency was associated with the 2009 to 2011 underwriting years, where there was increased claims frequency and incurred loss development at levels higher than previously expected. In response to these conditions and allowing for uncertainties associated with these recent years the company increased reserves to a level of approximately 20% in excess of the indicated deficiency. U.S. D&O, International D&O and U.K. Professional Liability were all found to be redundant as part of our review, driven by continued incurred loss development less than expectations. With respect to the U.S. and International D&O the company reduced reserves in the 2002 to 2005 underwriting years. The U.S. and International D&O reserves remain approximately 6% above the actuarial point estimate. With respect to U.K. Professional Liability, the company reduced reserves to the actuarial point estimate. Also our expense ratio in the third quarter reflects a reduction of 2.8% for reinsurance profit commissions of $15 million included in our earnings. And recorded as a reduction to policy acquisition costs. This primarily relates to U.S. and International D&O and resulted from our annual review of profit commissions conducted during the third quarter. For comparison purposes, third quarter earnings in 2010, 2009 and 2008 included profit commissions of approximately $1 million, $9 million and $12 million respectively. Third quarter 2011 cash flow was strong at $166 million. Operating cash flow year-to-date was $326 million, which excludes outflows from commutations in our Exited Lines. Our debt to total capital ratio increased this quarter due to borrowings under our revolving credit facility that we used to fund share repurchases. Liquidity remains strong. We have $392 million of available capacity on our revolving credit facility and more than $290 million of short-term investments and unrestricted cash. We anticipate using dividends from our insurance companies in the fourth quarter to reduce a substantial portion of the outstanding balance of the credit facility. From a capital management perspective, in the third quarter, we repurchased 3.8 million shares of our common stock for $106 million at an average cost of $27.73. Since June 2010, we have purchased nearly 12 million shares at an average cost of $29.89. Subject to market conditions, we anticipate continuing to buy our shares under our new 300 million authorization announced in September. Finally, we plan to adopt new accounting rules related to capitalization of policy acquisition cost on January 1, 2012. We don’t expect a significant impact on our earnings or expenses from the adoption. The adoption is estimated to reduce book value by less than $0.20 per share. With that, I’ll turn it back over to John.
John Molbeck: Thanks Brad. Brad had just reviewed with you the financial impact of the actions we have taken with respect to the DFP. We believe the DFP market represents about $1 billion in premium with HCC's market share being approximately 10%. We do not believe HCC’s DFP experience is unique, probably more transparent. We capture our DFP experience separately from our D&O book. At the DFP and D&O books were acquired in separate acquisitions and were managed separately until 2011. Previously we believed the DFP portfolio frequency and severity would normalize after the financial crisis and the resulting stock market crash of 2008. However, our third quarter actuarial analysis did not confirm the anticipated normalization of frequency and severity and accordingly we made the adjustments referred to by Brad to the current and prior year accident year loss ratios. The adjustment is an increase to IBNR and approximately 72% of the impact is for underwriting years 2009 to 2011. For example our paid in case reserves for the 2011 underwriting year is only 1% of our premium with a projected loss ratio of approximately 110%, thus almost a 108% of the ultimate is IBNR. Our incurred loss ratios underwriting years 2009 and 2010 are currently 47% and 11% respectively despite our estimating the ultimate loss ratio of approximately 110%. We made a substantial investment in our DFP business, we believe our franchise is both valuable and sustainable. And since October 1, Andy Stone who manages our D&O operations has been directly and personally overseeing the day-to-day DFP underwriting and is already having a positive impact. We’re encouraged about the future of the business based upon improving terms we have been able to achieve. Let me give you an example. In the last two weeks we’ve offered renewal terms on approximately 50 accounts. We renewed five accounts as expiring. We offered terms on the remaining each with either an increase in deductible or the rate increase and sometimes both. We estimate that of the 45 remaining accounts we’ll retain 30 to 35 of them all with improved terms. So, we continue to be positive about the future of the business. For the quarter, our U.S. Property & Casualty segment was up 1% in earned premium and net written premium was up 10%. The increase reflected higher 2011 retentions as well as the business written by our new underwriting teams. Prices for the segment were almost up 2% for the quarter. This segment contains the surplus line component of our portfolio that has experienced the greatest competitive pressures during the soft cycle. This quarter, however, based on our company price monitoring analysis all of our surplus lines businesses in the segment generated price increases for the first time in years. The Professional Liability segment remains competitive with pricing down high single digits. Gross written premium was down 10% and was down 2% on a net basis and flat based on earned premium. Our A&H segment continues to turn in a very strong performance with gross and net premium both growing by 4% and earned premiums by 5%. The loss ratio continues on plan and rate increases remain ahead of trend for the year. The U.S. Surety & Credit segment was down low single digits and gross and net written premium and up 4% on net earn reflecting the state of the economy. Our surety business continues to perform strongly with consistent underwriting performances that focuses on small limit business. Our International segment grew net written premium by 7% and 17% based on net earned premium with growth led by our property treaty business. Price increases remain widespread throughout the segment. But unfortunately the segment again was impacted by this quarter’s major catastrophes, Hurricane Irene and the Danish floods. The impact of the cats was more severe in our property treaty and our property D&F books. We are pleased that the property treating pricing has improved and was up approximately 10% comparing to the third quarter of 2010. M&A activity remains vibrant, especially for smaller strategic opportunities and the consolidation in Bermuda and elsewhere seems to have legs, which could result in less capacity and potentially improved pricing. At the same time, we remain active recruiting quality teams and filling out our specialty businesses. As significant acquisitions have not developed and the hiring of teams do not require meaningful amount of capital. The Board of Directors authorized another $300 million of stock buyback in September. As Brad described our investment performance remains solid and was achieved without stretching for yield or investing our portfolio in alternative or equity investments. The continued turmoil in the financial markets reinforces our decision. Our debt to capital ratio was 13.1% and our cash flow from operations remained strong and has been used to repurchase our company stock. We face an uncertain market, but HCC remained both well-positioned and optimistic. And we believe the pricing that we have experienced in the past nine months will continue and will result in improved profitability for HCC. Operator, with that I would like to open the call to questions.
Operator: (Operator Instructions) Your first question comes from the line of Amit Kumar with Macquarie.
Amit Kumar: John, good morning. Just going back to the re-underwriting of the book, you talked about terms and conditions and non-running some accounts. I’m curious what is the response of the buyers to that? And is that a trend, which is universal to the market place or are you the outlier?
John Molbeck: Well as I said in my comments, we’re just a participant in the overall market place and our share is 10%. And with 110% loss ratio, we can afford to lose all that business and that – but that’s not our intention. We believe that other carriers are experiencing the same type of results and that we believe there is a hard market out there for DFP, and we’re going to test it. We recognized that clients have been with us for a number of years and we’re going to take that into consideration, but at the end of the day, we have to achieve an underwriting profit. And our focus is going to be on increasing deductibles and increasing pricing. And we’ve already started that process and will continue the process. We were at $100 million of premium on a gross basis roughly projected for 2011 and that number could be zero or it could be $140 million depending on what we’re able to achieve in terms of pricing and condition, but we’re not going to be writing any more accounts. We’re not going to be writing any heavier exposure.
Amit Kumar: Got it. And can you just remind us what’s your reinsurance protection is for your non-cat book, especially for the DFP book?
John Molbeck: The DFP book is reinsurance in 2011 was 15%.
Amit Kumar: 15% got it. And one other question I have is on capital management. Do you sort of slow down capital management as you re-underwrite this book or is capital management mutually exclusive?
John Molbeck: Well, we always look at our return on capital, but this book is such a small part of the overall. It has little impact on the – in the capital management for the book of the business. So, its incidental to the overall equation.
Amit Kumar: Got it. And then I guess the only other question is would you have any exposure to recent market events in the marketplace?
John Molbeck: Well, we are in the market, we write a broad spectrum of the business and it would be very unlikely that we wouldn’t have some exposure to recent market events. As I would say it would be true for just about any insurance company that operates in the property casualty business.
Amit Kumar: Okay. Thanks, thanks for the answers.
John Molbeck: You’re welcome.
Operator: Your next question comes from the line of Dean Evans with KBW.
Dean Evans: Yeah, thanks. I was just wondering maybe if we could drill a little bit more into the DFP book, would you be able to give us – what are total reserves for that book. You know maybe could you give a little detail on what your net and gross limits and really any other color you could give us associated with that would be helpful?
John Molbeck: Well, I don’t have the total reserves for the book in front of me, but I can tell you that the maximum line that we put out on that book is $10 million currently. And our average line is less than $5 million. So, if that is helpful Dean?
Dean Evans: Yeah, that’s definitely helpful. And looking at the premium, so you’re about $100 million in premium in 2011 run rate, if we go back towards I guess 2007, 2008, 2009, 2010 was that all pretty steady at around the same level, I mean I guess what’s the total premium dollar we’re talking about here kind of for the affected years?
John Molbeck: Well just off the top of my head, if you go back, let’s say for last four years it was roughly about $100 million gross premium per year.
Dean Evans: Okay. So, 15% reinsured roughly, call it $85 million net?
John Molbeck: Reinsurance changes year-by-year. So, in older years it was more reinsurance.
Dean Evans: Okay. I guess that’s some helpful color. So kind of moving on and touching back on the capital management issue now, how do we think about the pace of the new 300 million authorization, it seems like you were really pretty active and kind of blew through that first authorization much quicker then I think may be many of us had expected. How do you think about the pace of how we are going to use the new one, and does that really depend a lot more on market conditions or do you plan to use it regardless?
John Molbeck: We definitely depend on market conditions and if market conditions allow and we believe the price is attractive and we certainly believe the price is attractive now. We will be in the market buying stock back and the next quarter will tell you how well we have done.
Dean Evans: Okay. Thank you.
John Molbeck: You’re welcome.
Operator: Your next question comes from the line of Ken Billingsley with BGB Securities
Kenneth Billingsley: Hi, good morning. Thanks for taking my question. Just a follow up on one the DFP section, what happened to the first nine months of 2011 that was different from 12 months ago when you last did your full review in this segment? I know you mentioned that there was increase in frequency or severity, but what specifically did you see now that made you make an adjustment for almost 3 years?
John Molbeck: Well, if we are looking at 2009 to 2011, recognizing the last policy written in 2009 expired at the end of 2010, we’re just seeing what the true frequency and severity was for 2009 to 2011 years and the projected loss experience that we looked at in 2010 increased dramatically by the time we looked at the same experience in 2011, dramatically not in terms of absolute dollar because I told you what the actual incur is, but since the frequency and severity didn’t return to what we thought it was going to be, and we used the frequency and severity method to do the actuarial estimates. We felt it prudent to go ahead and recognize that there was something going on in the business that was different than what we anticipated.
Kenneth Billingsley: And can you just tell me, is this an expectation for defense cost or is the liability exposure, what exactly is the exposure here?
John Molbeck: Well, we don’t know since we haven’t paid the claims yet, okay. But if you see, if you just assume that if you multiply severity in times of frequency and the fact that we write relatively small limits in this line of business. And because what we are seeing going on in the courts with the courts used to be that somebody would go for a motion for summary judgment the court would grant a motion for summary judgment, but since what you see now, is that whether it would be the media or the politicians demonizing Wall Street the judges just don’t want to release people from lawsuits and therefore the cost continues on and on and on. And this is a recognition of the fact that it is probably going to continue for the indefinite future.
Kenneth Billingsley: And again, that but it’s – the claims that have been in are those of a call?
John Molbeck: There’s really no – remember we are only looking at relatively limited experience for the 2009 to 2011 period, but what we look at right now we can’t see any difference between the defense cost and indemnity from the prior periods. But this book is yet to develop, so, we think it’s going to develop in the area that we’ve described, but we don’t know how that’s going to split out between defense cost and indemnity.
Kenneth Billingsley: And what have we seen from a competitor’s standpoint, you also made a comment about your transparency, a little bit more in that kind of a question that we have is obviously, you’re making a move to do something now. What kind of moves – I think publicly can you comment on that you’ve seen your competitors do in this space, whether it’s from a pricing, customers or just increasing their reserves. Can you talk about that?
John Molbeck: I think the competitors in this space are responsible competitors and I don’t intend – I mean to say anything other than that. But the very fact that as you can see the financials we provide and the detail information that we provide to analysts and investors, you can really dig in to our financials in a much greater degree than you can with other companies. We happen to keep this book of business separately analyzed that’s not necessarily true of other companies. So it’s a lot easier for us to see the trends. I suspect they’re experiencing the same thing that we’re experiencing and I think you’re going to see the market trend, that’s my expectation. If we in fact renew at increased terms and conditions or improve terms and conditions the way we seemed to be renewing then I think the whole market is going to be moving in the same direction.
Kenneth Billingsley: Last question is on moving on different spaces from an international perspective, on what opportunities do you see for HCC versus kind of the risks in the current environment, are you looking to do more domestically or from an international standpoint? How do you think it will be moving a little bit more in that direction?
John Molbeck: Well, we’re going to write the business where we can get the highest return on our capital. There are significant opportunities internationally, but there’s also significant opportunities domestically. We continue to feel very good about our energy business, our UK regional business that we do such as UKPI. Our property treaty business, last year we made a small profit, knock on wood is conceivable where we get at least breakeven this year depending on what happens in the fourth quarter. But we think there’s going to be significant price increases for property treaty business in 2010. If there is not then we are not going to write it. So we do see, we have three vehicles in the international market. We have our Lloyds Syndicate, we have a branch of Houston Casualty and we have HCC International. So we have various vehicles over there that will allow us to take advantage of the marketplace. And we do that through the UK without trying to make investments all over the world to try and generate that business because the business that we run which is specialty business largely comes back to London anyway.
Kenneth Billingsley: Last question here is on the stock buyback, will you buy above book value?
John Molbeck: We will buyback based on market conditions.
Kenneth Billingsley: But no specific restrictions?
John Molbeck: No restriction one way or the other.
Kenneth Billingsley: Very good. Thank you.
John Molbeck: You’re welcome.
Operator: Your next question comes from the line of Mark Dwelle with RBC Capital Markets.
Mark Dwelle: Hi, good morning.
John Molbeck: Good morning.
Mark Dwelle: Two questions, Brad you had mentioned something on related to the reinsurance commissions, I didn’t get all of that, could you go through that again little briefly?
Brad Irick: Sure in the third quarter, we annually look at our.
John Molbeck: He said reinsurance commissions.
Brad Irick: Did you mean reinsurance commissions?
Mark Dwelle: It was something like a 2.8% reduction. That’s what I managed to get noted down.
Brad Irick: Yeah that’s profit commissions from our reinsured. So we annually look at profit commissions especially in this quarter when we are doing our U.S. property in casualty and professional liability review because that’s where many of our profit commissions are and so we recorded $15 million in profit commissions in the current quarter and that relates to about 2.8% reduction in the expense ratio.
John Molbeck: We are in two types of profit commissions. We have agency profit commissions when we represent other insurance companies. So we are little bit unique in that. And we also are in profit commissions for more reinsurers. They’re earned based on the profit commission terms and sometimes they are not calculable for a number of years, and they are calculable depending on what the actual wording is in the contract. The agency profit commissions are generated largely by HCC specialty for lines such as disability and KNR. The insurance companies profit commissions earned across the board wherever we have terms and are – included share reinsurances that allow us for profit commissions. And so traditionally in the third quarter when we do our analysis of the U.K. I’m sorry of the liability, Professional Liability segment and U.S. Property & Casualty segment is the time to true those up.
Mark Dwelle: Okay. So, that’s an annual process or there is – this is…
John Molbeck: It’s an annual process.
Mark Dwelle: Okay. But it kind of a – it’s certainly a non-recurring it just non-recurring that’s once a year?
John Molbeck: It is a recurring. So, this year the amount was 15, the last year the amount was one, and I think the numbers before were something like 9 and 12. So, it is a recurring process and we traditionally earn profit commissions year-in and year out.
Mark Dwelle: Okay. Fair enough.
John Molbeck: Sure.
Mark Dwelle: Second question, just wanted on the – we’ve kind of beat up the unfavorable development side of the equation. I wanted to talk a little bit more about the favorable development side in terms of what assumptions change there just kind of in general obviously it’s older accident years that are involved in its D&O which is much longer tail in the first place. Can you just talk through some of that a little bit?
John Molbeck: Well, Brad was referring to the actuarial analysis that we did for the Professional Liability segment. And when the analysis was complete the actuarial point estimate was roughly $90 million deficient, but the actuarial point estimate for U.S. and International D&O was $110 million redundant. So we have to take those in context. When we look at that, we recognize the efficiency and then we added roughly 20% to that because of the volatility of the business but when we look at the redundancy for D&O business, we’re uncomfortable addressing anything prior to 2006. So any – the reserve adjustments we made were only for 2005 and prior although there’s still significant redundancy in the line of professional liability as up to over $50 million.
Mark Dwelle: Okay. Somewhat related question I suppose, in the second quarter you had a charge related to specific case, was that part of the professional liability or would that have been part of DFP?
John Molbeck: Well, it was DFP. It was for the club deals.
Mark Dwelle: Right.
John Molbeck: And it was – but DFP is included in the professional liability segment but we’ve never – when we talked about prior to 2011 whenever we talked about D&O, we’re never talking about DFP because it wasn’t included in the segment until we re-segment it.
Mark Dwelle: I see. In that event was the experience on the club deals was that – did it have any influence on the way things came out as far as the charge that was necessary on the DFP side then?
John Molbeck: Not really, I mean DFP came up because we were talking to our attorneys that represent us in the various issuers on the club deals and it was their recommendation to us that it was going to go before the court in New York and that the fifth amended appeal wasn’t going to be dismissed and because of that they thought the legal expenses were going to continue. And since we knew about that after the close of the quarter, we wanted to recognize that by increasing the incurred. So that’s the action that we took at the end of the second quarter. So that was really a more case specific increase as supposed to looking at IBNR.
Mark Dwelle: Okay. With respect to the DFP sector, what’s – what would be the normal sort of tail or maybe the 75% paid kind of percentile for on that type of business?
John Molbeck: I would think normally the tail is somewhere between four and five years. I am talking about on average, but what we’ve seen recently is that we’ve had cases that were closed and this has had an impact on the IBNR that we put up that plaintiff’s attorneys because they frankly don’t have lot else to do. They have reopened cases to go ahead and see if they can and revitalize the claim. So that’s increased a little bit of claims activity, but not material to the overall but it is additional factor that we haven’t had to deal with before.
Mark Dwelle: Okay. Well last question then, I know you’re not going to name specific accounts, but if you are involved on something like an MF global, would you be involved on that on a D&O basis or would you be involved on that on more of a DFP basis?
John Molbeck: That would more likely, that type of account, would be more likely a D&O account.
Mark Dwelle: And the typical limits that you would write on accounts of that nature?
John Molbeck: If you look at our overall D&O book, our maximum limit excluding side a, at 25 million sometimes. We write an additional limits for side which has completely different reinsurance program, but we could write another 15 million, but our average limits is, Mike, somewhere around $11 million.
Michael Schell: $9 million.
John Molbeck: $9 million.
Mark Dwelle: That’s helpful. Thank you.
Operator: Your next question comes from the line of Michael Nannizzi with Goldman Sachs.
Michael Nannizzi: Thanks, sorry to beat on the DFP, but a couple of little ones if I could. Do you tend to write that on a primary or excess basis or does it – this is across the board?
John Molbeck: We write it both on a primary and in excess basis. The percentage of business that we wrote on a primary increased since 2005, 2006. So it’s probably more like two-thirds primary, one-third excess.
Michael Nannizzi: Okay. And if it – did it tend to be E&O or D&O and the – was the reserve change related to one of those more than the other?
John Molbeck: The claims tend to be that – neither are excluded but the claims tend to be management liability claims, which I would describe as more than E&O claim than a D&O claim.
Michael Nannizzi: Got it. And when you talk about the underwriting actions that you took, I know there are lines where you guys have shutoff if you didn’t see what you like and lines where you re-underwrite. Can you kind of talk about the decision process between one or the other, and what specific actions did you take here got you comfortable with wanting to continue to write the business?
John Molbeck: Now, there’s two lines in history that I can recall that we shutoff. We’re involved in excess A&H and workers’ comp through LDG both in the U.S. and International. And we’re involved in workers’ comp in the U.S. And when we analyze those books of business, we just thought the entire market was so bad and there was no ability to negotiate price increases on an account-by-account basis. So when we – when we look at those lines of business, we just exit them immediately. When we look at this line of business, we think that we’ve built a franchise over one year and you can negotiate on an account-by-account basis. And these are sophisticated buyers and we believe that at the end of the day, we can charge a fair premium with a fair retention and make a fair return. If in fact the market doesn’t allow us to do that, next year when we’re talking about this will be writing zero premium for diversified financial products. So we think, with Andy Stone we have the right guy to underwrite this book and with the assistance of Brian Hickey and Jennifer Hickox we think that we can get this book turned around in a relatively quick period of time.
Michael Nannizzi: Got it. So in terms of underwriting actions you go in, you take a look at each individual account you reassess it based on what you’re seeing for similar account. Jut for – I’m just trying to understand what is the process in terms of the re-underwriting?
John Molbeck: You got it. It’s pretty simple, you look at it you look at the deductible and you look at the premium and you see, you look at the experience that we’ve had and then negotiate terms and conditions, bearing in mind that you have a relationship with the insured and you have a relationship with the broker. It’s an individual account-by-account, but we’re in the business to make money and while we love relationships, if we can’t make the money we’ll end the relationship.
Michael Nannizzi: Got it. And then you mentioned limits a average of five max limit of 10, can you talk about what is your max or have you disclosed your max exposure to any individual single account in terms of aggregate limits?
John Molbeck: We have not disclosed that, no.
Michael Nannizzi: Okay. Can you say whether that would be – whether that’s a material number individual account concentration?
John Molbeck: I don’t know what you consider to be material, but since we don’t disclose it I guess I couldn’t give that.
Michael Nannizzi: Got it. Okay. That’s fair. And then over the life of this line so the DFP, can you talk about total premiums received versus claims paid and just kind of what the profitability profile and the aggregate has been?
John Molbeck: I don’t have the numbers in front of you, but from recollection, 2002 to 2004 were very profitable years, but the premium volume was significantly less. We have had some years with varying degrees of profitability. Overall, I think with the recent adjustments we will be at a loss on the business.
Michael Nannizzi: Got it, okay. And then just last one if I could, so if it’s 5 to 10 million in limits and the charge in – we have a charge in the quarter which will insinuate a few policies were involved, did all that happen in a short period of time like before you did your reserve analysis or is it that there is a reporting lag may be between the underlying insured and you because of an intermediary, any color on that would be helpful.
John Molbeck: You’re making the assumption that we actually have these claims and as I have tried to say and obviously I didn’t do a very good job of this, the vast majority of what we put up is IBNR. We don’t have these claims. We just anticipate based on the fact that the severity and the frequency has not decreased and ultimately it will develop to this level. So the claims that will happen – the claims that haven’t happened yet were incurred, but not reported.
Michael Nannizzi: I understand. Okay, great. Thank you.
John Molbeck: Sure.
Operator: Your next question comes from the line of Matt Carletti with JMP Securities.
Matthew Carletti: Thanks, good morning. Just wanted to ask a question on the stop loss business, if I am recalling correctly over the past few quarters for the first nine months of the year, the rate you were getting there was slowly creeping in excess of the loss cost trend. I think the margin was kind of slowly expanding each quarter. Can you just update on if there was any change in this quarter?
Craig Kelbel: This is Craig Kelbel. No we continue to be above the trend of the renewing book of business little over 1% but that’s been fairly consistent throughout the year. It hasn’t shrunk or grown.
Matthew Carletti: Okay great thanks a lot.
Operator: The next question comes from the line of Adam Klauber with William Blair.
Adam Klauber: Thanks, good morning. You mentioned that you will be interested in writing more property treaty if the rate environment was correct, I guess, could you give us some idea of your appetite, I mean if it’s pretty good market would you write 25% more, or would you write double the book of business just some idea what your appetite is there?
John Molbeck: Well, I think you have to look at it in terms of two things. One is the amount of premium that we will develop to it and two is the amount of aggregate that would expose the company to and I would think in the case of each of those, the maximum increase and aggregate or premium that we will be looking at is 10% to 20%. So if today’s premium based on market conditions is 120 million, you can assume that we would not be increasing that book materially more than $20 million to $25 million in premium. That doesn’t necessarily mean that we would be writing anymore accounts or any more exposures, we would hope to achieve the additional premium by the very fact that we got increased payments of what we already write.
Adam Klauber: Okay, and then another question. I noticed that the retentions went down in the US P&C international during the quarter, is that just seasonal or is that something we should look for going forward?
John Molbeck: No. And we’ve addressed this on previous calls that we have increased what we’ve effectively done for the most part is we have had a number of very profitable quota share reinsurance arrangements. With reinsurers, we’re not core reinsurers to us and over a long period of time that historically made 15 to 20 points profits and some of those reinsurance premiums we’ve just taken in-house and retained.
Adam Klauber: Okay. Okay that’s helpful. And given – it appears the rate environment across market is that at a minimum stabilizing, when would you expect your loss ratio to improve?
John Molbeck: Our accident year loss ratio is in general is pretty good. And I think it’s too early to looking in the fourth quarter of 2011 to project accident year loss ratios to improve quickly, but probably in 2013 we see improvements in accident year loss ratios across the board.
Adam Klauber: Thank you very much.
John Molbeck: Sure.
Operator: Your next question comes from the line of Brian Pirie from Sansome Partners.
Brian Pirie: Good morning, guys, thanks for taking my question. And thank you for all of the commentary and transparency I appreciate it.
John Molbeck: You’re welcome.
Brian Pirie: I had a specific question about the gross development you guys pre-announced in a Professional Liability line. And I know you’ve given some color on this before, but I was surprised by the magnitude of the gross development plus and minus, plus 88, minus 87, maybe I’m just not use to seeing the development move on a gross basis within a segment, but I went back and looked for couple of years on a net basis and the largest move on a net basis was $10 million to $15 million in the quarter, that sounds like this move was totally driven by the change in the point estimate. But I was just wondering if you could comment on how common or uncommon the move of that size is within a line on any given quarter? Thanks.
John Molbeck: First, I think what we try to clarify is when we look at Professional Liability, if we look at Professional Liability after the actuarial review the numbers were actually $20 million redundant. However, when you look at the breakout of the $20 million redundant it was $110 million redundant in D&O and $90 million deficient on DFP. So, D&O is a big book. We’ve rolled a lot of – written a lot of premium over a lot of years and because of the volatility of that book, we probably if we are more aggressive could have reduced reserves in prior years, but because of volatility of that book, we didn’t think it was prudent. Now we are looking backwards at 2005 and prior years, in fact, if you look at the loss triangle, the loss that we are actually developing is lower rather than higher. So we recognize a difference. Most companies do not have segments the way that we have segments. And they don’t report to the detail that we report, so they might be looking at all property and casualty and then they might be looking at all reinsurance. We break it down more. We refine in greater details to give you more transparency. So I just think it’s just a function of the overall book of business and the time at which we looked at it and I wouldn’t read anything else into it other than that.
Brian Pirie: Thanks very much.
John Molbeck: You’re welcome.
Operator: (Operator Instructions) Your next question comes from the line of Amit Kumar with Macquarie.
Amit Kumar: Thanks just two quick follow ups. This again goes back to the DFP book. You mentioned 2011, 2009 to 2011 is projected to 110. Can we just revisit the 2006 to 2008 time period and what is that projected to be and any additional color on that?
John Molbeck: I don’t have the exact lost ratios in front of me, but all that premiums has been earned. So it shouldn’t have a financial impact as far as premium earning during the – in future periods.
Amit Kumar: Okay. And other question is just going back to the discussion on rate increases, I’m just wondering without asking for a specific number, what sort of rate increases are we talking about to get an appropriate return in the book, are we talking several multiples of the expiring rate or maybe just some additional color on that will be helpful?
John Molbeck: I think it’s a combination of two things. One is the deductible and the other is rate increase. In many cases, deductible is more important than rate increase. So effectively, you’re talking about the effective rate increase on the book of business. So if you have an account with a $250,000 each and every occurrence and you move that deductible to $1 million occurrence you might completely make it claims-free and therefore leaving the rate the same could give you a significant effective rate increase, but there might not be actually be a rate increase on the book. Conversely if the deductible is right, you might increase the premium 25, 50 or 100%. It’s going to be handled in each individual account basis, but on apples-to-apples basis, we probe between the combination of increasing retention and premium we are looking for 30% to 50% effective rate increase across the book of business.
Amit Kumar: Got it.
John Molbeck: If we don’t get it, we won’t write it.
Amit Kumar: Got it and that is very helpful. Thanks for all your answers.
John Molbeck: You’re welcome.
Operator: There are no further questions at this time.
John Molbeck: Thank you operator and thanks everybody for joining us on the third quarter call. We look forward to discussing with you the full-year results early in 2012. Have a great day, thanks.
Operator: That concludes today’s conference call. You may now disconnect.